Operator: Thank you and welcome everyone to FormFactor’s First Quarter 2013 Earnings Conference Call. On today’s call are Chief Executive Officer, Tom St. Dennis and Chief Financial Officer, Mike Ludwig. Before we begin, let me remind you that the Company will be discussing GAAP and P&L results and some key non-GAAP results to supplement understanding of the Company’s financials. A schedule that provides GAAP to non-GAAP reconciliations is available in the press release issued today and also on the Investor section of FormFactor’s website. Also a reminder for everyone, that today’s discussion contains forward-looking statements within the meaning of the Federal Securities laws. Such forward-looking statements include, but are not limited to financial and business performance projections, statements regarding macroeconomic conditions and business momentum, statements regarding the demand for our products and technologies. Statements regarding business integration activities and operational synergies relating to the Company’s recent merger with Astria Semiconductor Holdings, Inc., referred to today’s discussions as MicroProbe and statements that contains words like expect, anticipate, belief, possibly, should and the assumptions upon which such statements are based. These forward-looking statements are based on current information and expectations that are inherently subject to change and involve a number of risks and uncertainties. FormFactor’s actual results could differ materially from those projected in our forward-looking statements. The Company assumes no obligation to update the information provided during today’s call to revise any forward-looking statements or to update the reasons actual results could differ materially from those anticipated in forward-looking statements. For more information please refer to the risk factor discussions in the Company’s Form 10-K for the fiscal year 2012 as filed with the SEC, subsequent SEC filings and the press release issued today. With that we’ll now turn the call over to CEO, Tom St. Dennis.
Thomas St. Dennis: Thank you, and good afternoon. The first quarter of 2013 was another quarter of progress for the combined operations of FromFactor and MicroProbe. The integration of the two businesses has gone well. And, we continue to make progress on realizing our operational synergies. We’re now focused on delivering on the long-term growth opportunities that the combined company has in the advanced probe card market. Our SoC business slowed in Q1 relative to the full 13 weeks of Q4 2012 as the impact from significant reductions in personal computer unit shipments and product transitions in the mobile devices market, reduced demand for advanced SoC probe cards. We expect this demand to increase in the latter part of Q2 and should show strength in the second-half of 2013. The growth opportunities for the Company remains significant in this market driven by the growing number of smartphones, tablets, and other mobile devices. One of the important trends in the SoC packaging market is the transition from bump to wirebound packaging to copper pillar packaging because of its lower total cost. The momentum for copper pillar packaging continued in the second quarter and appears to be accelerating from schedule that customers had as recently as Q4 2012. FormFactor is well-positioned for this transition in packaging as we’ve been supplying leading edge copper pillar production for over five years. In Q1 we received multiple orders from two additional customers representing early production applications for them that are expected to ramp going into Q3. Delayed developments forecasted by 2014, 50% of all of the flip-chip package wafers will use copper pillar technology. We believe that FormFactor’s technology is well very suited for this fast growing market and represent an opportunity for us to grow our SoC market share in 2013 and beyond. The memory market recovered in Q1 from the significant drops that we saw in the third and fourth quarters of 2012. While the recovery is not currently as strong as we saw at this time in 2012, our DRAM revenue was up 33% in Q1 and we expect to see a slight increase in Q2. The recent increase in DDR3 DRAM spot market prices appears to be result of DRAM manufacturers, reducing the available supply and shifting their production away from the PC DRAM market and allocating their wafer starts for low power DRAM to supply the mobile devices market. Overall, our DRAM customers’ profitability has improved in the past quarter and this should help to stabilize probe card demand going forward. The mobile DRAM market is growing quickly as more mobile computing systems enter the market. Mobile device manufacturers are requiring new wafer test techniques that are creating an opportunity for FormFactor to expand our market share. Today we’re engaged with all four major DRAM manufacturers to develop leading edge mobile DRAM probe card solutions. Our revenue from the flash market was down in Q1 relative to Q4 2012, but appears to be improving to Q4 levels and possibly above this quarter. Our current product offerings focus on the high parallelism portion of the flash business, which we estimate to be approximately 10% of the total flash probe card market. Throughout 2012, we were focused on expanding FormFactor’s product offerings from a predominately memory centric portfolio to one that conserve the entire semiconductor industry, especially, the fast growing mobile SoC market. The acquisition of the MicroProbe products and our ongoing product development investments have achieved that objective, and in Q1 50% of our revenues came from the SoC market even with 33% growth in our DRAM revenues over Q4 2012. We’ve also been focused on restructuring the Company to be non-GAAP profitable with positive cash flow and the $64 million to $66 million revenue range. The benefits of the synergies realized in the merger with MicroProbe plus improved product gross margins has positioned us to deliver on our profitability and cash flow objectives going forward. Mike Ludwig will now review our first quarter performance and provide guidance for the second quarter.
Michael M. Ludwig: Thank you Tom. Good afternoon, revenues for Q1 were $52.6 million, an increase of $4.9 million or 10% versus Q4 2012. Compared to the fourth quarter revenues in the first quarter increased in SoC and DRAM, but decreased in flash. SoC revenues in Q1 were $26.4 million, an increase of $1.6 million or 6% from Q4. The increase in SoC revenues was driven by the addition of two weeks of MicroProbe revenues in Q1 compared to Q4. When compared to fourth quarter with 13 weeks of MicroProbe revenues Q1 SoC revenues were $2.2 million less than Q4. Revenues from mobile processors in parametric testing increased in Q1, but we saw a decrease in revenues from SoC devices for PCs. SoC probe card market is being favorably impacted by the growth in mobile application processors, which require more advanced probe card solutions and higher parallelism, but negatively impacted by the shift away from PC applications as evidenced by a double digit decline in PC unit volume in Q1. First quarter revenues for DRAM products were $22 million, an increase of 33% or $5.5 million from the fourth quarter. The increase in DRAM probe card demand resulted from stronger mobile demand and the extended rise in the price of DRAM devices that began in late Q4 2012. The device price increases resulted from the rationalization of supply with current demand. We continue to see an increased percentage of DRAM probe card revenues from customers that are transitioning to probe 4 gig devices 63% in Q1, while probe card revenues for mobile devices continue to be a strong revenue component in Q1, increasing to $8.5 million or 39% of DRAM probe card revenues compared to $6.7 million in Q4. Flash revenues were $4.2 million for the first quarter, a decrease of 34% from the fourth quarter. We saw a similar decreases in both our NAND Flash and NOR Flash revenues compared to Q4. NAND Flash revenues were $2.5 million for the quarter. First quarter GAAP gross margin was $9.1 million, or 17% of revenues compared to a negative $3.1 million or negative 7% of revenues for the fourth quarter of 2012. GAAP expenses in Q1 included $2.7 million for the amortization of intangibles, $1 million of expenses for inventory and backlog written up in the acquisition in Q4 and sold in Q1, and $0.5 million for stock-based compensation. On a non-GAAP basis, gross margin for the first quarter was $13.7 million, or 26% of revenues compared to $6.1 million or 13% of revenues for the fourth quarter. Non-GAAP gross margin for the first quarter was favorably impacted by higher revenues, a favorable product mix. Lower manufacturing costs from restructuring activities taken in Q3 2012 through Q1 2013, and significantly lower manufacturing variances. Our GAAP operating expenses were $29.6 million for Q1 2013, an increase of $7.7 million compared to Q4. Q1 GAAP operating expenses included $4 million for restructuring expenses, $2.5 million for stock-based compensation, $0.8 million for amortization of intangibles and $0.8 million for acquisition and integration related expenses. Non-GAAP operating expenses for the first quarter were $21.4 million, an increase of $1.9 million compared to the fourth quarter. The increase in non-GAAP operating expenses was due in part to the full quarter of MicroProbe operating expenses in Q1 compared to 11 weeks of operating expenses in Q4. In addition, operating expenses increased in Q1 compared to Q4 from higher personnel related expenses. In the first quarter, the company recorded a GAAP tax benefit of $0.2 million compared to a tax benefit of $25.1 million in Q4. The Q1 tax benefit included discreet tax benefit items from the R&D tax credit reinstatement for 2012. That was passed by Congress in January 2013 and the exploration of the statue of limitations on certain tax positions reserved previously. The benefit in the fourth quarter was derived primarily from a one-time benefit that resulted from recording a deferred tax liability and the release of a portion of the valuation allowance against the deferred tax assets as a result of the acquisition of MicroProbe. Basic weighted average shares outstanding for the first quarter increased to 53.7 million shares, compared to 52.7 million shares in Q4. The increase is due to the full quarter impact of the shares issued in Q4 to acquire MicroProbe. Basic GAAP loss per share was $0.37 in Q1 compared to income of $0.01 per share in Q4. Non-GAAP loss per share was $0.13 in Q1 compared to a loss of $0.25 per share in Q4. Cash comprised of cash, short-term investments and restricted cash ended the first quarter at $154 million, $12.1 million lower than Q4. The Company used $11.1 million in the business in the first quarter and $1 million for payments related to the acquisition on our first quarter restructuring. Here are some other financial details. Our depreciation and amortization in the first quarter was $6.21 million, including $3.5 million for amortization of intangibles and $2.7 million for depreciation. In addition the Company recorded $1.3 million of expenses associated with tangible assets written off as a result of the acquisition and expensed in the first quarter. Our capital additions in Q1 were $2.7 million compared to $2.3 million in Q4. Our stock-based compensation expense for the first quarter was $3 million compared to $3.6 million in the fourth quarter. As we discussed on our last call, in Q1 the Company took additional action to further reduce our expenses to better align with projected bit growth in both DRAM and Flash markets. As communicated by several device manufacturers. These actions resulted in the reduction of slightly more than 50 positions world wide. Principally from our manufacturing and engineering organizations, but were completed by the end of Q1. These actions resulted in savings of greater than $1 million in Q1, and we expect an additional $1 million of savings in Q2 related tot these actions. As we communicated earlier and reaffirmed by Tom in his remarks, our cash flow breakeven is $64 million to $66 million of revenues. At these levels we would expect non-GAAP gross margins to be 31% to 33% depending on product mix. Non-GAAP R&D expenses to be 14% to 16% of revenues in non-GAAP SG&A expenses to be 15% to 17% of revenues. We’d expect the revenue mix to be approximately 50% SoC, 40% DRAM and 10% flash. With respect to Q2 given an improved DRAM pricing environment and continued growth of our SoC revenue base, we expect second quarter revenues to be in the range of $58 million to $62 million. We expect the non-GAAP gross margin to be in the range of 28% to 31% from the second quarter. non-GAAP operating expenses to be approximately $21 million to $22 million, and the Q2 cash usage to be between $3 million to $5 million. With that let’s open the call for Q&A, operator?
Operator: (Operator Instructions) Our first question comes from Karen Swollen from Citi. Your line is open.
Karen Swollen – Citigroup Global Markets Inc.: Hi, good afternoon thanks for taking my question. This question is a little bit of a longer term question on the NAND market, as we eventually see migration towards 3D NAND into next year, by some of the larger NAND suppliers, how does that change the test opportunity within NAND. Thank you.
Thomas St. Dennis: Well, Karen I think everything that we’ve heard from customers so far about their 3D NAND requirements are that from a probe standpoint we expect it to remain relatively similar from a physical standpoint that meaning the number of probes the size of the bond pad things like that, so kind of the physical task of it, should be the same. In terms of what the actual electrical test requirements will be for 3D versus floating gate, I’m sure that will be dramatically different, how much of that we’re going to see, we don’t know yet, to the best of our knowledge we haven’t supplied our probe card for 3D vertical test yet, certainly not on a full wafer basis perhaps we’ve gotten in probe cards on that, but customers are being very careful about what they say around their 3D NAND timing. So, at this point in time I would assume that it will be similar to today’s test requirements at least as it effects the probe card.
Karen Swollen – Citigroup Global Markets Inc.: Okay, great that’s very helpful, then a follow-up question that I have is, as we continue to see the mix of DRAM migrate more towards novel DRAM, can you just talk a little bit about, how you see that opportunity developing over the next year perhaps, where you think that might one year from today, and then also just talk a little bit about market share wise, how you feel market share in the DRAM test market has progressed, and what did you made progress specifically at premium accounts, thank you.
Thomas St. Dennis: So, mobile DRAM as a percent of total DRAM Gartner estimates to be somewhere around 41% to 43%, I think it was 41% in 2012, and it should be 43% or so in 2013. And that’s expected to grow they’re also forecasting that smartphones will DRAM consumption and smartphones will exceed PC DRAM consumption in terms of total megabytes of DRAM consumed by 2015. So, clearly the mobile DRAM market is going to grow relative to the commodity or the kind of standard DDR part of the market. The shifts that go on there is that there appears to be a potential that more and more mobile DRAM will be sold in a unpackaged format or in a known good die format that ultimately gets packaged into a multichip package or stacked die package, and that has some impacts then on what would unfold from a test standpoint, from a probe card standpoint. And it is in fact in those areas that we are investing right now to participate in that, position ourselves. We think we have, for a couple of those test insertions, we have some specific strength in our products that we think will be useful. With regards to market share for the company in the last 12 months, I would say that our market share has been up slightly at a couple of our key customers. In terms of an overall difference, I think it’s hard to measure market share accurately against independent industry analysts. So I don’t think I can give you an outside number to reference against, but we know that in a couple of customers we’ve gained there. And particularly, in Korea for some of the more advanced applications it appears that the local suppliers don’t have the kind of high parallelism capabilities that FormFactor has, but also our competitor in Japan also has the capability. So we generally compete together on that. But in the course of the year, we know that our market share did gain at least one of the two key suppliers in Korea.
Karen Swollen – Citigroup Global Markets Inc.: Okay. Thanks, Tom. And maybe if I could get one last one in for Mike. You guys have done a good job of improving the cost structure and enhancing the gross margin capability. Can you just let us know on a go-forward basis where we are, and all the cost restructuring it sounds like we’re sort of in the later basis of realizing that. Are there any other milestones looking forward in terms of aligning the cost structure? Thank you.
Michael M. Ludwig:  Yeah. So, Karen, if you look at what we’ve done from Q3 through Q1 we’ve taken two pretty significant actions, one in Q3 that reduced our structure by $5 million a quarter and then one we took in Q1 this year, which reduced our structure by another $2 million, one that we recognized in Q1 and another $1 million that we expect to recognizing in Q2 going forward. So, I’d say, in general we’ve accomplished what we set out to accomplish. I don’t see any other major actions at this point in time that we have planned.
Karen Swollen – Citigroup Global Markets Inc.: That’s terrific. Thank you
Operator: Thank you. Our next question comes from Vernon Essi from Needham & Co. Your line is open.
Vernon P. Essi – Needham & Co. LLC: Thank you very much and nice work on the cost structure there Mike, I wanted to dive in a little bit on the guidance and specifically around the SoC side of the business, when you look into the next quarter, I’m curious what sort of visibility you’re getting out of our customers, and should we be looking for a lot of the sequential growth in disguise that come from SoC, and now sort of as we get into the middle of the year, we have the usual seasonal uptick of that business or should we, do you have a visibility I guess it’s really the question there, or should we be thinking that maybe this is going to kind of end of mouth sort of behavior going into 2013. Thanks.
Thomas St. Dennis: There is a lot of components to your question there, I think Vernon, but what I would say is the way it looks like to me is that, and I made a comment about it that compared to this time last year, while demand is up for us in memory and in SoC, it’s not up as strongly as it was a year ago at this point in time, and I think that there is a lot of different factors that maybe contributing to that, some of it’s related to product transitions and some of the new mobile product introductions that are going on whether it’s an Apple product or a Qualcomm product sorry a Samsung product, how that affects Qualcomm and Samsung and the market, it’s a little bit difficult to see today, smartphone unit volume shipments decreased in the first quarter from the fourth quarter, so there is a little bit of a pause in some areas that have been pretty hard. There is a lot of speculation about what's been going on with Apple and new product introductions and all there, and they've been taking their lumps on that, so I would say that in that coupled then also with what has happened on the PC market, with the unit volumes dropping so significantly in the first quarter at 14% or so that IDC reported, all that I'd say is kind of clouded things for us. I would say, I know it’s kind of trade, but everyone is certainly looking at the second half of the year as being a period of some growth and some significant growth, and we talk to kind of top five semiconductor companies that have given us specific statements with regards to what they expects the Q3 and Q4 demand to be like, and they see it is up significantly from the first half. I think they have got the tied to specific product launches and other things so there is some structure behind that versus just hope and some expectation out there. All that said, I would say that from a FormFactor standpoint, typically our first quarter and our fourth quarter are the slower quarters in the year, and the second quarter and the third quarter are the stronger quarters in the year, and in some years the second quarter is bigger and in some years the third quarter is bigger. I would say that this year is sizing up to be stronger for us in the third quarter based on different inputs from customers as well as some of the industry things going on. So that’s about as good as we got it right now.
Vernon P. Essi – Needham & Co. LLC: And I appreciate that, and I’m sorry I gave you a lot on the front end of that question, but you answered the long-term part. But I guess, going into the second quarter, I’m assuming, you said DRAM would be up a little, but I’m assuming that you’re going to get a bigger growth belt out of the SoC business for this Q2 guide, is that correct? At least dollar terms?
Michael M. Ludwig: Yeah, we didn’t provide breakout by sort of market, but the answer is, yes, we’ll get a little more sequential growth out of SoC.
Vernon P. Essi – Needham & Co. LLC: Okay, and then just to follow-on to Terence’s cost question, specifically on the gross margin, Mike. It seems as though, I always like to track the gross margin pretty carefully here. It seems like you are getting better traction than I would haave expected off of the same revenue levels. Is this more from just optimizing the operation side of the business? I mean I realize you’ve taken these cost reductions, but it seems as though, I would almost even say it’s the pricing, are you getting better pricing from your vendors, or your customers rather, in the process as you are growing the revenue?
Michael M. Ludwig: Yeah, it’s definitely a combination of both, Vernon that certainly the actions that we’ve taken over the last three quarters have been pretty significant with respect to increasing efficiency at manufacturing operations, but also the group has done a very good job of leveraging supply chain, negotiating good cost reductions with respect to our materials. So it’s really been a combination of both and if you really kind of think about the model that we have communicated, the results are probably pretty much inline with this volume of revenue. So I think it was just really trying to get back making sure that we took the actions to get the model or results back closer to the model I think over the last two or three quarters we definitely have done that.
Vernon P. Essi – Needham & Co. LLC: Okay, very well. Thank you.
Operator: Thank you. Our next question comes from Patrick Ho from Stifel Nicolaus. Your line is open.
Patrick J. Ho – Stifel, Nicolaus & Co., Inc.: Thank you very much. Tom, maybe if you could give us a little bit of color in terms of mobile DRAM outlook with a lot of the conversions that are going on in the industry right now from commodity DRAMs and mobile DRAMs, what’s the kind of lag time when based on production on those lines versus when you start seeing, I guess pent up orders and core revenues?
Thomas St. Dennis: Well, at one level Patrick we’re driven by the number of wafer starts or wafer outs per month from the factories. So given that they have been managing their capacity pretty tightly and frankly I think have been reducing it for the last couple of years. The fact that they shifted around internally, they have one level says that maybe that the design on the probe card changes, but the total number of wafers per month don’t change. Now there is a shift though that’s going on and that is that there is the mobile DRAM parts require some longer test periods in some cases they’ve require a different test, additional test insertion. So in general, it’s got some growth in it for us that way. When it’s, I think it’s if we see a 10% growth in the kind of distribution of mobile DRAM within the total DRAM space over the next 18 months or whatever. It will add measurably to the DRAM probe card market for us, but maybe it will add 5% or something like that. It’s speculation on my part, but there is a benefit to us as it moves as they convert more into mobile.
Patrick J. Ho – Stifel, Nicolaus & Co., Inc.: Okay, great, that’s helpful. Again maybe looking towards next year as you met your product introductions, new devices coming out at the industry starts to migrate to 20 nanometer devices that have all set of new mobile application processors that will be built-on 20 nanometer, so what’s your outlook for the opportunity between 28 and 20 nanometer from the probe card side.
Thomas St. Dennis: Well, a portion of that side, what I was talking about in the prepared comments with regards to copper pillar packaging. And a lot of those transitions that are going from 28 nanometers down to 20 nanometer are also incorporating this new packaging technique of utilizing copper pillars. It provides some cost savings and it’s got frankly it’s got a space savings because it’s tighter pitch and in that case then I think it really plays to our strengths, the Company is a leader in terms of the finest pitch in the bump market today, that’s why we’ve utilized MEM technologies to enable substantially tighter pitch applications and probing and this transition down to 20-nanometer will bring it this copper pillar packaging, reduced pitch and that really should create an opportunity for us to grow our share within the SoC space.
Patrick J. Ho – Stifel, Nicolaus & Co., Inc.: Great. And final question for Mike. I just want to make sure I understood the answers to the last few questions correctly about the margin profile. Would it be fair for me to characterize that on a going-forward basis gross margins, the biggest variables or the biggest levers for gross margins are product mix and absorption, and it’s not any restructuring or any of those kind of things that will have the biggest impact?
Michael M. Ludwig: On a go forward basis, Patrick you are correct.
Patrick J. Ho – Stifel, Nicolaus & Co., Inc.: All right. Thanks a lot guys.
Operator: Thank you. (Operator Instructions) The next question comes from Tom Diffely from D. A. Davidson.
Tom R. Diffely – D. A. Davidson & Co.: SoC market, I guess, just first, how big is that market and what kind of projected growth do you think is reasonable for this year?
Thomas St. Dennis: Which market are you talking about?
Tom R. Diffely – D. A. Davidson & Co.: The advanced logic or advanced SoC market.
Thomas St. Dennis: The last numbers that we have, there is, the numbers are the same ones that we had from last year. There hasn’t been any new independent industry analysis out on that. But we’ve got the SoC market for the 2011 timeframe was right now $400 million and we would expect to see that having grown during 2012 by 10% or 15%. We’ll see as some of the data comes out now in the next month or so.
Tom R. Diffely – D. A. Davidson & Co.: Okay. So I guess your strategy in the market was really just the market itself is going to have some fairly good growth over the next few years, or is it you gain share inside that market?
Thomas St. Dennis: Well, it’s a combination of both. The market is attractive because it’s growing and growing at a pretty healthy rate of 10% plus. Certainly our objective in this and our strategy in that is to grow our share within that market as more and more of the SoC products move into grid array packaging in general. The so called bump packaging and more recently this, the technology that’s coming forward now for cost and performance is this Copper Pillar packaging. And so, both of those are market segments that we think we’re very competitive in and we think that the total offering of the company with regards to manufacturing customer support and the technology we have is attractive for that. We know that the market for packages in which these chips are replaced and packaged subsequently. We know that market is growing rapidly as more companies adopt a grid array type package. And so, bottom line, the market is growing. We expect to benefit from market growth, but we also expect to be able to leverage our technologies and our capabilities as more people move to this more advanced form of packaging.
Tom R. Diffely – D. A. Davidson & Co.: Okay. That’s good. And is there normal seasonality in this as well with the fourth quarter and first quarter being a little softer or is this much more project based.
Thomas St. Dennis: Certainly if at least in the past, we’ll see what Apple does in the future I guess, but, in the past, as Apple introduced a product in January not that I can recall on, but there was a clear project based active set of activities went around, some of those major product introductions. At this point in time, it seems that a lot of these product introductions are now kind of timed to take of advantage of the holiday season and get position out there, for I guess probably back-to-school all the way through Chinese New Year. So, it seems like the seasonality exists really throughout the market from SoC to DRAM and Flash where at least Q4, Q1 kind of transitions slows down and then things begin to build backup as you get into Q2, Q3.
Tom R. Diffely – D. A. Davidson & Co.: Okay, all right, thank you. And one question for Mike, $64 million to $66 million breakeven, is that cash flow breakeven, EPS breakeven and is it GAAP or non-GAAP?
Michael M. Ludwig: Should be cash flow breakeven on a non-GAAP basis.
Tom R. Diffely – D. A. Davidson & Co.: Okay. And what is the breakeven level for EPS breakeven EPS?
Michael M. Ludwig: Yeah, on a GAAP perspective that’s going to be pretty good size numbers interrupt overcome the $3 million to $3.5 million of stock-based compensation as well the amortization of intangibles, which is another at this point in time $3.5 million, so it would be a good size number.
Tom R. Diffely – D. A. Davidson & Co.: Okay, all right. Thank you.
Operator: (Operator Instructions) I’m showing no further questions at this time. Ladies and gentlemen thank you for your participation. This concludes the FormFactor first quarter conference call. You may now disconnect.